Operator: Good day, and thank you for standing by, and welcome to the Suncor Energy First Quarter 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. Trevor Bell, VP, Investor Relations. Please go ahead.
Trevor Bell: Thank you, operator, and good morning. Welcome to Suncor's first quarter earnings call. With me this morning are Mark Little, President and Chief Executive Officer; and Alister Cowan, Chief Financial Officer. Please note that today's comments contain forward-looking information. The actual results may differ materially from the expected results because of various risk factors and assumptions and they are described in our first quarter earnings release as well as our current annual information form. Both of these are available on SEDAR, EDGAR and our website, suncor.com. Certain financial measures referred to in these comments are not prescribed by Canadian GAAP. For a description of these financial measures, please see our first quarter earnings release. Following formal remarks, we'll open the call up to questions. Now I'll hand it over to Mark for his comments.
Mark Little: Great. Thanks, Trevor and good morning. Thank you for joining us. Before I get into our opening remarks, I would like to note that we will be hosting investor and analyst community at our Virtual Investor Day on May 26. On that day, we will address in detail the outlook for our business from an operating and capital allocation and ESG performance perspective. As a result, our remarks today will be focused primarily on our first quarter results. In the first quarter, we executed upon the commitments we have made to our shareholders, namely: operational excellence, financial resilience, shareholder returns and fortifying our [indiscernible], record In Situ production of 252,000 barrels a day and a disciplined focus on costs across the company. This performance was supported by increased upgrading flexibility achieved through Syncrude and Base Plant interconnecting pipelines. Within our downstream business, we generated nearly $1 billion of funds flow from operations as our 92% utilization at our refineries continued their industry leadership position. Our physically integrated model generated $2.2 billion of funds from operations, excluding the restructuring charge of approximately $125 million after-tax related to our previously announced headcount reductions. We reduced our total debt by $1.1 billion and returned approximately $640 million to shareholders through dividends and share buybacks or roughly 30% of funds from operations. Our buyback resumed at the beginning of February and including purchases made in April, we bought back approximately 20 million shares for $530 million, representing a buyback yield of 5% on our market cap on an annualized basis. Focusing on operating performance. On our fourth quarter call, I mentioned that the combined Base Plant and Syncrude upgraders set the second best quarterly SCO production in our history with 514,000 barrels a day. This trend continued into the first quarter with even stronger production of 520,000 barrels a day. Together, these two quarters marked the highest ever SCO production at our combined upgrading facilities over a six-month period. This performance reflects our strategy to maximize the value of each barrel. We have a similar good news story on costs, which we continue to drive down. Many of you had recognized the improved cost performance in Q4, closing out the year at the bottom end of our 2020 guidance range. The first quarter trended 12% below these levels, reflecting the significant strides made in 2020 on the initiatives to structurally improve the cost of our business. As a result, the first quarter Oil Sands operations costs averaged CAD 23 a barrel, more than absorbing the 20% quarter-over-quarter natural gas price increase. Syncrude achieved 94% utilization with cash operating costs of $32 a barrel during the first quarter. Along with the other owners and personnel at Syncrude, we are making good progress on the smooth transfer of operatorship of Syncrude to us by the end of the third quarter. At Fort Hills, our net production averaged 51,000 barrels a day, reflecting a change in the mine ramp-up strategy. With full partner support, a decision was made to reset the mine plan. Over the next four months, we will increase the available ore inventory to provide a consistent feed to the plant, while keeping our production flat. Appropriate ore inventory levels are required to operate the plant at 90% of nameplate capacity on a two-train operation. This change does not impact our production guidance range for the year. It merely changes the production profile throughout the year. Our downstream had another good market-leading quarter, generating nearly $1 billion of funds from operation despite continued stay-at-home orders across Canada. We leveraged our midstream assets and expertise to capture robust margins and exported significantly higher volumes. I am confident that as you see the cracks improve and the Canadian economy unlocks as vaccinations pickup, we will continue to build on this level of profitability, both in volumes and margin increases. Finally, and most importantly, we hold the health and safety of our employees and contractors above all else. Currently, the third wave of the pandemic in Canada is significantly impacting the region of Fort McMurray. Given this situation and with Syncrude in the middle of the turnaround schedule, we've delayed the start of our U2 turnaround at Base Plant until at least June. We will see when this gets finalized. This decision supports the completion of Syncrude turnaround and minimizes the overlap between the two assets. These measures have been taken to ensure our planned maintenance can be performed safely and efficiently. We currently expect no material impact to our 2021 guidance. We also continue to work with the community of Fort McMurray and with governments and other industry players to accelerate rapid testing and now vaccinations in the region. We will continue to provide assistance to the community and its citizens during these trying times. I'll now hand it over to Alister to go through our financial highlights.
Alister Cowan: Thanks, Mark. In the first quarter, as Mark highlighted, Suncor generated $2.2 billion of funds from operations. Now this, as Mark said, excluded approximately $125 million of after-tax restructuring charges resulting from staffing reductions that we announced in our 2020 third quarter call. We do expect to record another restructuring charge later this year during the third quarter as we progress the Syncrude operatorship integration and as we deploy other company-wide processes and technology investments across the company. Consistent with the plans we outlined for 2021, we allocated approximately two thirds of our free funds flow to debt repayment and one-third to share buybacks. We strengthened the balance sheet by reducing our total debt balance by approximately $1.1 billion. We also terminated a portion of our short-term commercial paper by issuing 30-year debt in the U.S. and Canadian markets for an equivalent CAD 1.5 billion at a very appealing 3.8% average rate. I believe this issuance demonstrates the market's confidence in the long-term viability of the Oil Sands in our physically integrated models. Restarting our share buyback program at the beginning of February, we repurchased approximately 12 million shares at $26 per share. In April, we purchased an additional 8.2 million shares for $215 million. So year-to-date, that's $530 million of stock repurchases or just over 20 million shares. Our strong operational results supported our significant financial progress made in the quarter. Oil Sands operations generated $1.4 billion of funds flow, nearly doubled Q4 levels. The price realization is improving approximately 35% quarter-over-quarter. SCO and bitumen realizations were nearly CAD 70 per barrel and CAD 48 per barrel, respectively. As Mark noted, we continue to progress our cost improvement performance. If I compare our aggregate Oil Sands operating, selling and general cost to Q1 2020 for seasonality, not only are the per unit cost coming down, but also our absolute costs are down by nearly $300 million. This was achieved while increasing production by 60,000 barrels per day and absorbing a 50% increase in natural gas prices. The E&P segment generated $285 million of funds from operations with price realizations of nearly CAD 75 per barrel. As you will see from our financial statements, our sales are lower than production in E&P. This is purely a timing issue. Loadings and the sales were delayed in the quarter given some challenging sea states. We expect this to reverse, which will provide an uplift to funds from operation in the second quarter. And finally, our downstream recorded approximately $1 billion of funds from operations. So this is a healthy improvement from 2020 levels despite the continued and extended stay-at-home orders across most of Canada. We do recognize we benefited from a FIFO tailwind, but our industry-leading utilization rates are a reflection of our integrated model, our midstream capabilities and our logistics network. Our model allows us to place volumes with the end consumer that others are simply not able to do. As I said in February, given the current macro pricing environment and our solid operating performance, any additional free funds flow is expected to be allocated to debt repayment and share buybacks. Our capital guidance for 2021 will not change, and we maintain our free funds flow allocation of approximately two-thirds to debt repayment and one-third to share buyback for 2021. With that, I'll pass it back to Mark for some closing comments.
Mark Little: Great. Thanks, Alister. Our first quarter results demonstrate a sharp focus towards operational excellence, financial resilience, shareholder returns, and further fortifying [indiscernible] particularly in Canada, we are positioned to benefit from the large tailwinds expected in 2021 to both our upstream and downstream business and our financial performance. Combined with our focus on costs, margin enhancement and capital discipline in the form of our $2 billion improvement target, the free funds flow generation capability of our business is stronger than ever. I do hope everyone can join us on our Investor Day on May 26. We are looking forward to sharing more details about the plans, including the initiatives that are structurally lowering our costs and our capital base, increasing the funds flow generation capability of our business and adding financial resilience while targeting increased shareholder returns and achieving all of this with better environmental performance. With that, Trevor back to you.
Trevor Bell: Thank you, Mark and Alister. I'll turn the call back to the operator to take some questions. Operator?
Operator: [Operator Instructions] And your first question comes from the line of Greg Pardy with RBC Capital.
Greg Pardy: Hey, good morning. Really just one question for me, Mark, and I guess its digging a little bit back into Fort Hills. So what I'm wondering is whether you've moved from on a sustained basis from a sort of a just-in-time inventory methodology, right, in terms of the ore versus a sustained buffer. And then kind of the follow-up is with the plan that you have laid out, what does that mean for exit rates and then ultimately costs?
Mark Little: Yes. Thanks, Greg. Yes, it's an interesting way you characterized that. I guess that's a fair way of talking about it. Part of the issue with it is when you slowly ramp up, we literally are constantly changing the operation of the two trains and in some cases running trains for periods of time, shutting them down to average below two train minimum. So our view was, look, this is creating an enormous amount of variability within the plant. Let's just clear off the overburden, get the mine ready to go at full rates. And then in mid Q3 or in September, we're expecting to be at full rates and be within 90% of plant capacity at year-end. And we're expecting that as you get into 2022, although we don't have all of our cost reductions implemented, but we expect to be very much in the range that we initially stated for Fort Hills, which is in $20 to $23 a barrel as you get into 2022.
Greg Pardy: Okay. Terrific. And then the last piece of that – that's helpful. The last piece of that is just on the autonomous haul trucks, I think you've deployed all of them. How is that working? And are you seeing cost savings flipping into that as – when it's smooth?
Mark Little: Yes. As we stated before, Greg, we structurally were driving down the cost at Fort Hills. Part of that is autonomous haul trucks, but there's also lots of changes around staffing and support of the operation and such. So yes, they're up and operating. They're going well and they're delivering non-cost reductions.
Greg Pardy: Okay. Terrific. Thanks very much.
Mark Little: Thanks, Greg.
Operator: And your next question comes from the line of Neil Mehta with Goldman Sachs.
Neil Mehta: Yes. Thank you. So the first set of questions just around capital returns, good deleveraging in the first quarter. It looks like you picked up the pace of buybacks here in April. So just can you talk about how you're thinking about approaching the buyback in 2021 and are you pulling forward some of the share repurchase relative to your plans?
Alister Cowan: Yes. Neil, we – and April was pretty consistent with the numbers that we were buying back in March. I would say that as we are generating and realizing free cash flow, we are deploying it in the two-thirds to one-third that we said. So it’s pretty consistent. With that, I wouldn't say we’re currently pulling anything forward. As we generate the cash flow, we’ll allocate it to debt repayment and buybacks and the allocations that we said.
Neil Mehta: And then the follow-up is just around the COVID cases in the Fort McMurray area. Can you give us a sense of the conditions on the ground at this point? What are you doing to manage risks around that? And I know you talked a little bit about managing your turnaround schedule, if you could flush that out?
Mark Little: Yes. Thanks, Neil. As we've stated before, there's a massive amount of things that we've changed to be able to operate in a COVID world. Everything from bussing, working protocols, masks, sanitization all sorts of different things. This has been augmented recently with rapid testing. We’re part of the Canadian CDL rapid screening consortium. And so we implemented that. And I would say that that's now being used across the industry up in Fort McMurray to help in testing asymptomatic individuals. We're finding about 1.4% of the people that are testing positive with our rapid testing and such. And then from that just recently, we've been working in collaboration with governments and the communities and Alberta health to be able to accelerate COVID vaccinations within the region. I think this is hugely important and certainly would encourage all of the people in Fort McMurray to get vaccinated as soon as possible. But this is a key focus area and all of the companies are working together on coordinating and accelerating, rapid testing and vaccinations. The turnaround – specifically to your question about the turnaround, part of the issue is, there's a number of turnarounds going on within the industry right now. Syncrude's into their big turnaround.  Our view was is that the labor situation was already stressed. The last thing we wanted to do is overstress that, so focusing on Syncrude and getting the vast majority out of it that way before we started. The U2 turnaround made a lot of sense to us just being able to manage within COVID and such. And we're hoping with acceleration of vaccinations and such we'll be in a much better situation to efficiently and safely execute the turnaround, and it should actually open up the labor pool. So that's why we've decided to defer.
Neil Mehta: Makes sense Mark. See you in a few weeks.
Mark Little: Thank you, Neil.
Operator: And your next question comes from the line of Phil Gresh with JPMorgan.
Philip Gresh: Yes. Hi. Good morning. First question is just on the operating costs. As you've talked about, and as you showed in your slides, you're expecting those to be pretty flattish for the full-year. The first quarter, obviously it was down year-over-year, but we do lap some extraordinarily low OpEx in 2Q and 3Q. So maybe you could just remind us how you're thinking about the ability to continue to knock out some permanent cost saves versus some of the temporary costs that we'll be lapping that will come back this year?
Mark Little: Yes. Phil, thanks for the question. Clearly, our focus in generating the $2 billion of incremental free cash flow, a lot of this is around restructuring the cost structure of the company. That applies on the ground with things like autonomous haul trucks. But it also affects things like our supply chain. So we’re trying to take a couple of hundred million dollars out of our supply chain, and that's actually been going quite well. It's actually affecting our tailings technologies. So we're driving down our sustaining capital and some of our ARO by actually using the past technology. Our supply and trading organization is doing a bunch of work on the trading systems and strategies associated with them. We're expecting to generate a bunch of money out of that as well. And then we're working on structural changes at the corporate level. So obviously we are working at this as quickly as possible. You'll get a much better sense when we get into Investor Day because we'll get into the – how this actually shows up in a little bit more detail associated with it. But we're very confident that we're going to deliver our $1 billion by 2023 and the $2 billion by 2025. And I think that that's one of the joys that we've continued to invest through this period because it's going to offer ongoing and increasing cash flows.
Philip Gresh: Okay. Got it. And then just on the E&P business, we had oil prices return back close to 2019 levels in the quarter, but the cash flows in E&P were still kind of more consistent with what we are seeing last year. So I was just curious, how would you describe the puts and takes of the performance in E&P? I recognize the production is a bit lower, especially versus 2019, but any other thoughts you could share on E&P?
Mark Little: I think we lost half of your question, Phil, but let me give it a try and you can follow-up if I don't address your point. I think part of it, we view that we're kind of a pure E&P player associated with it because we really don't care whether production goes up or down. We really don't care what the resource base looks like. We're not short of resource in the company, that's for sure. And so the focus is, is making the right decisions at the right time. Clearly, we're in the process of selling Golden Eagle and that's just following our disciplined execution process associated with it. Terra Nova is one that we're working to get back online, but nothing is finalized there and we continue to work with the partners and the government around how that could potentially move forward. And as Alister mentioned in his comments, we built inventory in the quarter. And so we'll see some of that. So you didn't see all the cash flow from what we are producing. So in any particular quarter, it's not necessarily fully representative of the business.
Philip Gresh: Okay.
Mark Little: Did that answer your question, Phil?
Philip Gresh: Yes. I mean, it seemed like the cash flow was not quite as consistent with a $60 oil period, I guess, as you said, there is some inventory factors and other things. But – and I figured currency is also a factor as well nowadays. But I was just curious if there's anything else missing. That was it. Thank you.
Alister Cowan: Phil, maybe I’ll just jump in there. The impact of the sales and production and the inventory build is about $75 million in cash flow, just to give you some quantum there.
Philip Gresh: Okay. That's helpful. All right. Thank you.
Operator: And your next question comes from the line of Manav Gupta with Credit Suisse.
Manav Gupta: I just wanted to quickly focus a little bit on downstream. What we saw all of last year was Canada managing COVID a lot better than U.S., and it's kind of start up this year, it's flipped a little. U.S. is managing stuff slightly better than Canada. Now you have refining operations in both regions. I'm trying to understand, is Suncor going to be try and sell more products in U.S. now that the demand is looking a little stronger on this side of the border and how you will manage the situation where suddenly U.S. demand is looking a little better than Canadian demand?
Mark Little: Yes. Manav, I actually think you've described that quite well is when you look at it, I think what you're seeing is a strengthening of U.S. demand as everyone is coming out of lockdowns. And in Canada, our demand is off. I don’t know, in gasoline, it’s probably off something like 6% in Western Canada and 17% in Eastern Canada right now. But it's actually going the other way, right. Like, we're going into some of the most extreme lockdowns that we've had during the entire COVID. So you are starting to get this to some degree, a bifurcated market associated with it. What we've been doing is leveraging our logistics to be able to export product into the marketplace. I think that will even be a bigger advantage if as the U.S. is moving forward and strengthening further. And so we'll continue to leverage that capability, although in saying that, much less of an issue in the second quarter, where we have the inventory now in Canada to cover our turnarounds. And so our utilization will be much lower as we conclude that work. So I think the timing of our turnarounds is really good in Canada as well.
Manav Gupta: Okay. A quick follow-up, if you could update us on the progress on egress front. We saw TMX getting slightly delayed. And then there's always this issue of Line 5, which keeps coming up. How are you seeing Line 3? So if you could give us a broader – your view on the egress situation in Canada? And I’ll leave it there. Thank you.
Mark Little: Great. Thanks, Manav. On the pipeline situation, Line 3, we expect to come on around this time – sorry, by the end of this year around that period of time. Execution timelines are always moving around a bit as it's a bit dynamic. But the confidence and certainty of that line coming on has never been higher. And if you go to Trans Mountain, this is – I kind of view a lot of this is just normal execution variability within executing a line. We're expecting that on towards at the end of 2022 and maybe early 2023. Those two lines had 750,000 barrels a day of incremental egress out of the market. So this will be very significant to the Canadian market. And then finally on Line 5, obviously this is a significant month because the governor has called for the line to be shutdown. We don't think that they have the authority to do that. Obviously, we're working with Enbridge, who I think is working very hard and doing a great job of keeping the line in service. And one of the things we keep emphasizing both to the Northern States as well as into Ontario and Quebec, that if this line gets shutdown, it takes half of the oil that flows into Ontario refineries and stops it from flowing there. This will have a consequence on the people in Ontario and Quebec. And I think that the politicians, including the Canadian government are very cognizant of that and working hard to ensure that the laws are followed and that this line stays in service.
Manav Gupta: Thank you.
Operator: And your next question comes from the line of Chris Tillett with Barclays.
Christopher Tillett: Hey guys. Good morning. First, quickly for me. Can you just clarify the numbers you gave again, earlier in terms of the buyback figures from April?
Alister Cowan: Yes. So Chris, in April, we bought $250 million worth of stock back, about 8.2 million shares. So year-to-date, it’s just over 20 million shares and about $530 million of – in dollar terms.
Christopher Tillett: Got it. Okay. Thanks. And then, I guess in terms of your approach there, would you describe it as being more systematic throughout the year and just sort of occurs as the cash flow comes in the door? Or have you kind of front-loaded that? Or just, I guess, generally speaking where your head's at on that?
Alister Cowan: Chris, it’s more systematic. It’s just going to flatline it. We're not trying to opportunistically time the market. We said we would allocate our cash flow two-thirds to debt repayment and one-third to the buyback. And we’ve taken more of an annual view of that, so – and we’re just systematically going into the market buying back.
Christopher Tillett: Okay. That's helpful. Makes sense. And then last for me, I guess, just the figures you highlighted in the presentation about the remaining Oil Sands spend for 2021. I'm assuming a good chunk of that is related to some of the asset maintenance and turnarounds you guys are doing. But can you give us any indication as to how heavy that maybe over the next quarter or two versus the shape through the rest of the year?
Mark Little: Yes. I actually think it's fair to say that you go back and look at it historically. We spend the vast majority of our money in the second and third quarter every year because we try and do all our maintenance essentially between April and October and do as little as possible through the winter period of time. So you're going to see the vast majority of our capital spend will occur in the next two quarters. And certainly, with the big turnarounds, that's actually where we're spending a good portion of our money. Obviously, moving the turnaround at Base Plant could push some more of that into the third quarter, but most of the money will get spent in the next two quarters.
Christopher Tillett: Got it. Okay. Thanks, guys.
Operator: And I'll now turn the conference back over to our moderator for closing remarks.
Mark Little: Great. Thank you, operator. Thanks everyone for joining us this morning. If you have any further questions, please reach out to myself and our team here at Suncor and we'd be happy to answer them. Everyone, stay safe. Thank you. See you on May 26 or hear you on May 26.
Operator: Thank you. This concludes today's conference. You may now disconnect.